Operator: Greetings and welcome to the Lightbridge Corporation Business Update and First Quarter 2020 Conference Call and Webcast. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder this conference is being recorded. It's now my pleasure to introduce to your host Mr. Matthew Abenante, investor Relations for Lightbridge Corporation. Thank you sir. You may begin.
Matthew Abenante: Thank you, Michelle and thanks to all of you for joining us today. The company's earnings press release was distributed after the market closed yesterday and can be viewed on the Investor Relations page of the Lightbridge website at www.ltbridge.com. Joining us on the call today is Seth Grae, Chief Executive Officer; along with Larry Goldman, Chief Financial Officer; Andrey Mushakov, Executive Vice President for Nuclear operations; Jim Fornof, Vice President for Program Management; and Sherry Holloway, Senior Staff Accountant. I would like to remind our listeners that any statements on this call that are not historical facts are forward-looking statements. Today's presentation includes forward-looking statements about the company's competitive position and product and service offerings. During today's call, words such as expect, anticipate, believe and intend will be used in our discussion of goals or events in the future. This presentation is based on current expectations and involve certain risks and uncertainties that may cause actual results to differ significantly from such estimates. These and other risks are set forth in more detail in Lightbridge's filings with the Securities and Exchange Commission. Lightbridge does not assume any obligation to update or revise any such forward-looking statements whether as a result of new developments or otherwise. With that, I'd like to turn the call over to our first speaker, Seth Grae, Chief Executive Officer of Lightbridge. Hello, Seth.
Seth Grae: Hello Matt, and thank you. Thank you all for joining us today. I sincerely hope that each of you and your families are healthy and safe. We ended fiscal year 2019 on a high note winning the GAIN Voucher, our first U.S. Department of Energy funding award for the project which helps position the company for the next phase of fuel development. We were delighted to announce The Cooperative Research and Development Agreement CRADA with Battelle Energy Alliance, LLC the operating contractor of Idaho National Laboratory with DOE in mid-April which was the major milestone for Lightbridge. The CRADA is for $845,000 with three quarters of this amount paid by DOE or $633,000 for the scope performed by INL with the remainder comprising in-kind or non-cash contributions from Lightbridge for its scope of work in support of this project. In terms of the size of the GAIN Voucher, the DOE states that it only allocates awards over $500,000 “in cases with a clear need and involving a truly exceptional technology or innovation”. We are now a government contractor in developing our metallic fuel. The scope of the project which is 12 months in duration includes experiments designed for irradiation of metallic fuel material samples in the advanced test reactor at INL. We will establish the test plan for the measurement of key thermo physical properties of our fuel materials both before and after irradiation. From there INL will perform the detailed design and establish the case of the safety case for the experiment in the advanced test reactor. We expect these steps will lead to the complete design and safety case needed for insertion of our fuel materials into the advanced test reactor. Why is this all important? Successful performance under this CRADA is a necessary first step toward insertion of our fuel material samples into the advanced test reactor. This irradiation testing will provide valuable data on the fuels behavior during radiation which we use to support regulatory licensing. The next step, which we are already working on, is to manufacture our fuel material samples. We have identified suitable facilities within the U.S. National Laboratory complex that we believe have the relevant capabilities and equipment to manufacture these samples. In the coming months we will provide further updates on our progress toward this significant milestone as we advance our discussions toward a definitive agreement. Next, once the fuel material samples are manufactured they will be placed for irradiation testing in the advanced test reactor and finally, after the irradiation testing is complete, a post irradiation examination of the fuel materials will be performed in hot cells at Idaho National Lab. In parallel, we are also evaluating suitable fabrication facilities for the next phase of our co-extrusion fabrication technology demonstration work. As previously announced late last year we successfully demonstrated our co-extrusion process using surrogate materials. The next step is to evaluate the surrogate rods using non-destructive and destructive examination and perform any process optimizations that may be required. We will provide updates on this fabrication process demonstration milestone as we make further progress over the coming months. We believe that engaging with DOE through the GAIN program could not have come at a better time for Lightbridge. This CRADA allows us to form a close working relationship with DOE gaining access to world-class facilities, world-class equipment and world-class experts. As an aside, I was happy to provide a quote to gain for inclusion in the fact sheet for the GAIN program that is on their website. In the quote I stated that “the gain initiative is helping American companies move development of advanced nuclear technology into the fast lane. Through GAIN Lightbridge can leverage the unique world-class facilities at the U.S. National Laboratories to demonstrate our advanced metallic fuel; a key step on the path to market.” Quotes like this as well as several reference in our recent announcements reflect the potential opportunities we see before us in partnering with DOE particularly when combined with recent federal policy commitments. These commitments to funding and supporting next generation nuclear fuel technologies are made in the Nuclear Fuel Working Group’s report on restoring America's competitive nuclear energy advantage; a strategy to assure U.S. national security. I was happy to be a part of the discussion with President Trump at the White House that helped lead to the working group. This historic report has paved the way for advanced nuclear technology to be driven by the federal government for the foreseeable future. I thought Secretary of Energy Dan Brouillette did a brilliant job of making the case for U.S. support for nuclear innovation. Importantly we do not see the bipartisan support for nuclear power changing regardless of the results of elections this fall. The thrust of new pieces of legislation is geared to be bipartisan. These new policies are forward-looking to the United States competing and winning not just domestically but globally with new technologies. Over the years America has gradually ceded its leadership position in nuclear energy to Russia and China which threatens American competitiveness and national security. In fact, just today the Office of Nuclear Energy at DOE announced the launch of its advanced reactor demonstration program which will provide $160 million for initial funding to build two reactors that can operate within the next five to seven years. One of the hallmark policies that came from the Nuclear Fuel Working Group report was the support for production of high assay low enriched uranium or HALEU. HALEU production is necessary to meet industry and defense needs in the coming decade. While HALEU is broadly defined as uranium enriched above 5 or less than 20 weight percent in isotope uranium-235, most next-generation reactors and advanced fuels including Lightbridge fuel require HALEU with uranium 235 enrichment between 10% and 19.75%. Our strategy is very well aligned with the recommendations of the Nuclear Fuel Working Group report and the prevailing U.S. nuclear policy. We are working towards being one of the companies that will help implement these new policies. In addition to bipartisan support for nuclear power at the federal level, Virginia Lightbridge's home state is an example of the growing support for nuclear power at the state level. On April 30, the Virginia Nuclear Energy Consortium of which I am a board member issued a press release highlighting a recent bill signed by governor Northam that work towards incorporating nuclear energy for its carbon-free goals in Virginia, I think Virginia sees the large and growing federal support for nuclear power particularly for advanced technologies and wants to help position companies and universities within the state to receive that federal support. The legislation is also part of a trend in other states and countries to recognize nuclear as part of clean energy. I recently read an article by Marc Andreessen, co-founder of Netscape and co-founder and General Partner of Silicon Valley venture capital firm, Andreessen Horowitz, where he discusses how we can rethink, where he discusses how we can rethink and redesign many of our social and economic norms in a post-COVID world. In the article, he references solving the climate crisis saying “energy experts say that all carbon-based electrical power generation on the planet could be replaced by building a few thousand zero emission nuclear reactors. Maybe we could start with 10 new reactors, then 100, then the rest.” I bring this up because the recognition of nuclear power as a source of zero carbon emission energy is growing in our society from the halls of the federal government to a growing number of states to Silicon Valley. They recognize the massive energy challenges that the world faces reducing carbon emissions while increasing energy capacity to power a growing world population and economy. Renewable energy will only be able to address a fraction of the future energy capacity that will be needed over the next 30 years while needing to comply with mandates that call for reduced emissions. There are currently 419 reactors operating in the world. Lightbridge has calculated that all energy used in the world today is the equivalent of 8900 large reactors with 84% of that energy actually generated by fossil fuels. 11% by hydro and renewables and only 4.5% generated by nuclear. In 2050 total energy use in the world is expected to be the equivalent of over 21,000 large reactors. Nuclear energy needs to be a major component of future capacity if we're going to achieve these shared goals. This is the opportunity where we are working towards for Lightbridge fuel. The average annual fuel spent per light water reactor per year is about $50 million. With 419 reactors operating worldwide today, such reactors operating worldwide say this creates an addressable market of $21 billion at today's capacity. Lightbridge fuel can help the existing and future new large reactors compete against natural gas and renewables. Furthermore, the deployment of new smaller safe reactors which our fuel can further optimize opens the door for the next generation of reliable nuclear power and a larger addressable market. Lightbridge fuel is designed to operate with virtually every reactor in the world. Once we are in commercialization nuclear fuel supply agreements will generate long-term high margin recurring revenue. Earlier this month we were notified by the Japan Patent Office of a patent grant related to a Lightbridge metallic fuel assembly designed for using CANDU type reactors further strengthening our worldwide patent portfolio. We have worked to expand our patent to state and will be exploring opportunities in the CANDU fuel market. And with that I will turn the call over to Andrey Mushakov Executive VP for Nuclear Operations who will discuss the CANDU market. Andrey?
Andrey Mushakov: Thank you, Seth. We're starting to explore potential opportunities from the CANDU fuel market. CANDU reactors are pressurized heavy water reactors which have online refueling making it less risky from a technical standpoint for our latest rod assemblies and their reactors. With online refueling, latest rods or latest assemblies with our fuel rods can be inserted and removed without having shut down the reactor. Currently 49 CANDU reactors in operation in the world with about half located in Canada. While we're in the early stages of evaluating this opportunity, we are hopeful for the potential economic benefits, improved safety and reduced spend fuel to CANDU utilities based on our previous analysis for pressurized water reactors. Particularly in Canada utilities are taken stamps to refurbish and extend the lives of CANDU plants. Back to you Seth.
Seth Grae: Thank you Andrey. Now I'll turn the call over to Larry Goldman our chief financial officer to summarize the company's financial results for the first quarter. Larry?
Lawrence Goldman: Thank you Seth and good afternoon everyone. For further information regarding our first quarter 2020 financial results and disclosures please refer to our earnings release that we filed at the close of market yesterday and our form 10-Q that we will file with the SEC later today. Before I discuss our financial results, I'd like to review our response to COVID-19 and how it has impacted our business. In response to COVID-19 we have taken the necessary steps to preserving our current cash runway to the end of 2021. It's required making significant budget cuts to our corporate overhead spend with an approximate 50% reduction in our employee headcount which took effect on May 1, 2020. I've converted many of these former employees to now part-time consultants. I felt these budget cuts were prudent and necessary to what is currently a very challenging environment due to COVID-19 that could last for an unknown period of time. Despite COVID-19 our operations continues to move ahead and we look forward to beginning the work on our recently announced CRADA, The Battelle Energy Alliance, the operating contractor for the DOE at Idaho National Lab. We were very pleased to find in the recent Nuclear Fuel Working Group report released by the DOE last month, the working group strategy to supporting the U.S. nuclear energy industry, in particular, the exporting of U.S. civil nuclear technology in competition with foreign state-owned enterprises while ensuring consistency with U.S. non-proliferation objectives and supporting U.S. national security. We'll continue to strive to obtain additional DOE funding in the future either from their GAIN program or other funding opportunities made available within the DOE. The primary goal of furthering our fuel developments in the most cost-efficient manner for our shareholders. To support our future financing requirements with respect to our fuel development we will also be seeking to form new strategic alliances in which we will work to obtain cost-sharing contributions in order to help fund future R&D milestones leading to the commercialization of our nuclear fuel. Regarding our Q1 financials as of March 31, 2020 we had $16.3 million of cash and cash equivalents with no debt and a working capital surplus is $16.2 million, currently project our future monthly spend to average approximately $0.7 million for both our G&A and R&D expenses or total projected expenditures of approximately $8 million to $8.5 million for the next 12 to 15 months preserving our current projected cash runway to the end of 2021. $16.3 million in cash and cash equivalents at March 31, 2020 compared to $17.9 million on December 31, 2019 resulted in a total decrease of $1.6 million in cash and cash equivalents for Q1 of 2020. Total cash used in operating activities for Q1 of 2020 was $2 million compared to $1.5 million for Q1 of 2019. The net increase in cash used in our operating activities was approximately $0.5 million for Q1 of ‘20. This increase in cash used and operating activities was due primarily to employee comp, professional fees and other G&A expenses which was offset by changes in certain operating working capital accounts. We anticipate that spending on employee comp, professional fees and certain other G&A expenses will decrease in future periods due to the COVID-19 actions taken regarding our recent budget cuts. Cash used in investing activities decreased by approximately $1.5 million for Q1 2020 compared to Q1 of 2019. This decrease was primarily due to the fact we are no longer making equity investments in Enfission as Lightbridge is no longer conducting its R&D activities with Framatome through Enfission. Cash provided by financing activities decreased in Q1 of 2020 by $1.6 million compared to Q1 of 2019. This decrease was due to the decrease in cash proceeds from the issuance of our common stock. I'll now turn the call over and introduce you to Sherry Holloway, our senior staff accountant who will go over some select P&L financial information for the first quarter of 2020 and also discuss our form 10-K/A filing and the recent implementation of the new Lightbridge employee stock purchase plan. Sherry, over to you.
Sherry Holloway: Thank you, Larry. Total corporate R&D costs amounted to $0.4 million Q1, 2020 compared to $0.9 million for Q1, 2019. This decrease of $0.5 million is primarily due to the decrease in R&D work with Framatome and Enfission as Lightbridge is no longer conducting R&D activities with Framatome and Enfission. R&D expenses consists primarily of employee compensation and related fringe benefits and allocable overhead costs related to the research and development of our fuels. G&A expenses for Q1 2020 were $1.9 million compared to $1.3 million for Q1 2019. This includes approximately $0.6 million was due to an increase in professional fee of approximately $0.4 million and increase in employee compensation and employee benefits of approximately $0.1 million and a severance payment accrual of $0.2 million due to the employee layoffs at March 31, 2020. These increases were offset by a decrease in stock based compensation of approximately $0.1 million due to the decrease in stock option expense for prior stock option [awards] that had become fully vested in prior reporting periods. Other operating loss was $0 for the Q1 2020 compared to $0.9 million for Q1 2019. This decrease of $0.9 million was a result of the inactive status of the Enfission joint venture at March 31, 2020 and December 31, 2019. Total net other income was approximately $0.1 million for the Q1 2020 and Q1 2019 which represents interest income on our cash balances. Net loss for the Q1 2020 was $2.3 million compared to $3.1 million for Q1 2019. We also filed the Form 10-K/A with the SEC on April 28, 2020 which included the disclosures that will be included in our future proxy finings. Due to COVID-19 and the resulting logistics issues with the financial print that works with our transfer agents, we were forced like many other public companies to postpone our 2020 annual meeting until later this year. Within this 10-K/A filing we disclosed a new Lightbridge Corporation employee stock purchase plans or ESPP, which has recently adopted by our Board of Directors. The ESPP facilitates executive and employee ownership of Lightbridge stock by permitting all eligible Lightbridge employees to purchase Lightbridge shares on the open market through their payroll deductions at the prevailing market price of our stock at the time of purchase. The Board expects all main executives to participate in the ESPP. Now over to you, Seth.
Seth Grae: Thank You, Sherry. Before we get to your submitted questions. I want to thank our stakeholders including our shareholders, employees and vendors for your continued support. Since our last call there has been a flurry of activity within the company as well as the industry which has led to a greater awareness and attention for Lightbridge. We recently presented at the HALEU webinar that was hosted by the DOE through the GAIN program The Electric Power Research Institute and the Nuclear Energy Institute. I had the opportunity to be interviewed by Newsmax TV and TV Ameritrade Network to discuss American nuclear energy policy after the Nuclear Fuel Working Group report was issued, as well as our contract under the GAIN Voucher. News from our CRADA announcement was picked up in leading trade press including World Nuclear News, Power Magazine, Nuclear Energy International and the Energy Daily. At the same time we have taken steps to improve our communications with investors. Last month we rolled out our redesigned corporate website where you can find our interviews and media clippings and also provided an updated slide presentation. We have had discussions with current and prospective investors through virtual roadshow meetings which have enabled us to tell our story and build greater awareness. We will continue to hold these virtual meetings while the current social distancing measures are in place. In closing, I want to reiterate that the Lightbridge leadership team is dedicated to creating long-term shareholder value and we remain focused on our pursuit of full-scale commercialization of Lightbridge fuel as quickly as possible Thank you for your support and belief in our vision to capitalize on the opportunity before us in the nuclear power industry. And with that we will go to the question-and-answer session. Thank you to everyone for submitting your questions ahead of today's call. Matt?
A - Matthew Abenante : Thank you Seth. Our first question is has Lightbridge applied for a PPP loan?
Seth Grae: While we considered it we decided not to apply. We have cash in the bank that should last at least through the end of 2021 and we didn't think we should try to take the money when there was a finite amount available with so many people who need it more than we do.
Matthew Abenante: Thank you. The next question, have you considered selling and/or leasing patent rights to one or more nations in order to fund Lightbridge beyond December 2021?
Seth Grae: We're not doing that now but we are starting to explore opportunities relating to other countries for example. We've mentioned possible opportunities relating to fuel for CANDU reactors. Every power reactor in Canada is CANDU. We're exploring the possibility of having more accelerated timelines to commercialization in Canada. We are also exploring other non-dilutive funding opportunities including additional funding from DOE. We believe we’ll have many opportunities to fund the company beyond December 2021 including work with companies and governmental entities in the U.S. and in other countries
Matthew Abenante: Great. Our next question is a technical one. A critical piece of Lightbridge fuel is its technical ability to handle LLCA's far more efficiently than current accident tolerant fuels. Will the Lightbridge Fuel be tested at TREAT or ORNL as part of the current GAIN Voucher or is that a totally separate GAIN Voucher submission?
Seth Grae: Okay. First LOCA is loss-of-coolant accident treat is the transient test reactor at Idaho National Laboratory. ORNL is Oak Ridge National Laboratory has a lot of acronyms, but why don't we turn it over to Andrey to answer the question.
Andrey Mushakov: Absolutely. Yes, you're correct in your comments regarding the ability of our metallic fuel to handle design basis loss-of-coolant accident compared to conventional dioxide fuel or even accident or even accident tolerant fuels. This particular safety benefit appeals considerably the Nuclear Utility Fuel Advisory Board. While we expect to evaluate opportunities for transient [testing] of the TREAT reactor at Idaho National Laboratory and material irradiation testing in the high flux isotope reactor at Oak Ridge National Laboratory in the future that work is outside the scope of the recently announced GAIN Voucher Award.
Matthew Abenante: Thank you. The next question what specifically was it about Lightbridge's application and/or technology that led to being awarded the GAIN Voucher in contract?
Seth Grae: Andrey?
Andrey Mushakov: While the GAIN office does not share the detailed results of their relation of applications for Vouchers, they do apply a merit review criteria including technical merits which accounts for 50% of the total score. Business and market impact which accounts for an additional 40% of total [rates]. Team qualifications and experience that's another 10% of the total score and consideration for small businesses that's an additional 5% on top of the previous rates. In our application, we emphasize the following technical merits of Lightbridge Fuel, energy generation economics and competitiveness, enhanced safety, reduced environmental impact, improved management of used nuclear fuel, reduced proliferation risk and the development of new processes and materials. Additionally, we discussed our engagement with leading [U.S.] utilities as well as how our GAIN Voucher Award may reduce our time to market, advanced HALEU, U.S. manufacturing capability reaffirms U.S. global nuclear industry market leadership. Further details of the GAIN programs’ merit review criteria can be found and gain.inl.gov.
Seth Grae: And Matt you have another question?
Matthew Abenante: My apologies. Yes. What variables are you seeing in the next three to five years as pivotal milestones to cross to bring the company to the next level and dramatically increase the market cap? Is it the underlying demand in nuclear fuels? Is it turning on existing unfractured or completions of SMRs?
Seth Grae: We value the advice that utilities give us helping to ensure that our fuel will meet their needs and existing large reactors. We're also evaluating opportunities for using our fuel in small modular reactors. The SMR market doesn't yet exist but with U.S. government support it may also become a large market for us. We believe the U.S. government has become a valuable partner for success of advanced nuclear technologies. We believe Lightbridge's technology will be able to help the government meet its strategic goals including competing and winning against Russia and China and selling reactors overseas, establishing long-term relationships with customers in countries of strategic importance to the U.S. Many investors in advanced nuclear companies want to leverage their investments with DOE support. We've worked to make sure that what we're doing is aligned with U.S. policy goals and we believe our recent win of a GAIN Voucher is the first of our major achievements with the government. One of the hallmark policies that came from the recent Nuclear Fuel Working Group report is the support for a production of high assay low enriched uranium or HALEU. HALEU production is necessary to meet industry and defense needs in the coming decade. While HALEU is broadly defined as uranium enriched above 5 with less than 20 weight percent in the isotope uranium 235. Most next-generation reactors and advanced fuels including Lightbridge Fuel require HALEU with uranium 235 enrichment between 10% and 19.75%. Our strategy is very well aligned with the recommendations of the Nuclear Fuel Working Group report and the U.S. nuclear energy policy. Through deployment in existing reactor fleets, our metallic fuel can facilitate early market demand for HALEU, providing a bridge between existing reactors currently in operation and generation for advanced reactors that are still in development and maybe be deployed in large numbers in the next several decades. Our market cap should reflect the discounted present value of future cash flows. As we make progress relating to existing large reactors as well as new reactors both large and small, we believe investors will see large future cash flows and value the company accordingly.
Matthew Abenante: Thank you. Our next question when must Lightbridge provide the metallic fuel material samples for the advanced test reactor?
Seth Grae: Jim take that one.
James Fornof: Yes. Thank you for the question. As Seth mentioned in his prepared comments our current GAIN Voucher with INL was for the design of an irradiation experiment in the advanced test reactor or the ATR. The output of that project will be the complete design and safety case needed for insertion of the experiment into the ATR. In parallel with our efforts under the GAIN Voucher we expect to separately contract with INL or others for the HALEU material and for the fabrication of coupon samples for the experiment. Our goal would be to have these coupons available for insertion into the ATR when it's planned core internals change for CIC maintenance outage is completed in the latter part of 2021. The actual experiment insertion is subject to several factors including the final duration of the CIC outage, availability testing positions in the ATR core and INL's prior commitment to testing. Once this required burn up is achieved in the ATR, we would further expect to perform post irradiation exam of the coupons at INL’s facilities as well.
Matthew Abenante: Thank you. My next question, are there similar and/or the same CRADA project that Lightbridge is interested in, in the near future and in addition is the advanced test reactor distinct from or the same as the versatile test reactor?
Seth Grae: Jim take that one too.
James Fornof: Sure. Yes, as I mentioned in the near future we plan to procure the HALEU material and fabricate coupon samples for the ATR experiment. These samples are planned to be irradiated in the ATR to levels typical of a commercial reactor operation and following this post irradiation examination sometimes called [PIE], the samples will be performed in order to characterize the key properties of the fuel for continued design and licensing activities. Regarding the second part of the question, the advanced test reactor is one of the principal research reactors located at the Idaho National Laboratory facility. It's generally considered to be the workhorse for nuclear fuels and materials testings. In addition to the ATR, the transient reactor test facility or TREAT also provides testing of fuel materials in a short duration high neutron flux experiments. But the versatile test reactor or VTR is a completely new reactor being designed for the lab. It's a fast spectrum test reactor intended to support nuclear reactor research and development and the Department of Energy is expected to decide sometime in 2022 whether to proceed with building a fast spectrum test reactor in the United States.
Matthew Abenante: Thank you, Jim, and for our final question since Lightbridge is getting attention from DOE which is great, would you entertain funding opportunities from utilities?
Seth Grae: Yes, we would entertain funding opportunities from utilities. We want to protect the interests of Lightbridge's investors including protecting our ownership of our intellectual property rights. We value the advice of the four utilities on our nuclear utility fuel advisory board. We intend for the fuel to bring value to utilities which could lead to funding opportunities from them.
Matthew Abenante: That's our last question.
Seth Grae: Well, thank you Matt and thanks to the operator Michelle and in particular thank you to everybody for participating on today's call. We hope you and your families are healthy and safe. We look forward to providing future updates. Thank you very much and good bye.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.